Operator: Hello and thank you for standing by. At this time, I'd like to welcome everyone to the Arq Third Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. As a reminder, this call is being recorded. I will now turn the conference over to Anthony Nathan, Head of Investor Relations for Arq. Please go ahead, sir.
Anthony Nathan: Thank you, operator. Good morning everyone and thank you for joining us today for our third quarter 2024 earnings results call. With me on the call today are Bob Rasmus, Arq's Chief Executive Officer and President; as well as Stacia Hansen, Arq's Treasurer and Chief Accounting Officer. This conference call is being webcasted live within the Investors section of our website and a downloadable version of today's presentation is available there as well. A webcast replay will also be available on our site and you can contact Arq's Investor Relations team at investors@arq.com. Let me remind you that the presentation and remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act. These statements are based on information currently available to us and involve risks and uncertainties that could cause actual future results, performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include but are not limited to, those factors identified on Slide 2 of today's slide presentation, in our Form 10-Q for the quarter ended September 30, 2024 and other filings with the Securities and Exchange Commission. Except as expressly required by securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason. In addition, it is especially important to review the presentation and today's remarks in conjunction with the GAAP references in the financial statements. With that, I would like to turn the call over to Bob.
Robert Rasmus: Thank you, Anthony and thanks to everyone for joining us this morning. This was a really strong quarter. With that in mind, I'd like to start today by reflecting on our journey: where we've been, where we stand now and where we're headed. Looking back over the past 15 months, I'm incredibly proud of our team and everything we've achieved. First, we have successfully executed a complete turnaround in the financial and operating performance of our foundational PAC business. The net result underpins our business with attractive cash flows to springboard our growth. We approached the turnaround with a nothing is sacred mantra. This strategy helped transform a consistently loss-making business into not just a profitable business today but a sustainability profitable business over the longer term. As I've said before, our enhanced performance is not the result of any magic formula but rather the diligent focus and thoughtful execution around the basics. I'm proud of our team for sharpening its focus on cost and embracing an every penny counts mentality. At the same time, the sales team has done a great job in fundamentally improving our contract portfolio by removing all low and negative margin agreements. As we announced this morning, sales prices for our PAC business in Q3 2024 were 15% higher than the same quarter last year. Gross margins have improved by approximately 800 basis points year-over-year to a very encouraging 39%. While the pace of improvements will naturally slowdown from here given the significant improvements already realized, we do continue to target and expect further benefits as we optimize all aspects of our PAC business. I often describe our PAC business as Arq's foundational business, given it was the foundational asset base on which we were built. But increasingly, it's also growing to reflect a business whose positive cash flows will serve as a financial foundation to help fund its own maintenance CapEx as well as our growth initiatives in the quickly evolving granular activated carbon market. That brings up the second highlight I'd like to make, the strides forward we continue to make in our exciting GAC growth business. Shortly following my appointment, we offered to you our commitment to drive robust contracting activity as we execute on our GAC growth initiatives. And I am excited to confirm today that we are now contracted for approximately 15 million pounds of annual GAC product, or approximately 60% of our 25 million pound nameplate capacity, clearly validating the value of our product, solution and strategy. Moreover, we are in advanced stages of negotiations for the remaining nameplate capacity and expect to complete this by the time we achieve our full run rate of 25 million pounds which is targeted for the end of Q1 2025. We also have identified the potential for Red River to deliver production capabilities above our nameplate capacity and I'll have more on that shortly. Third, I'd like to highlight the progress we've made with regards to funding our exciting set of growth initiatives. We have raised approximately $44 million of total capital via strategic equity raises in May and September of this year at a volume weighted average price of roughly $5.75. While our thinking around equity issuance has evolved alongside the market and our opportunity set, I would emphasize that the average issuance price across these 2 strategic offerings is more than 3.6x higher than the day I joined. The quality and depth of our investor base has also improved significantly, alongside a nearly 5-fold increase in our market capitalization to approximately $250 million today. We have also fundamentally improved the quality of our earnings stream and balance sheet. As a result, we are well positioned to execute on further expansion of our GAC capability. So in summary, I look back on these last 15 months with great pride. We've implemented sustainable and impactful changes to our operations that have driven immediate improvements and set the stage for long-term financial success. As proud as I am of our accomplishments and there are many, we still have the opportunity to make significant further progress. I'm excited to finish 2024 on a high note and embrace what promises to be an even more transformational year in 2025. More on that soon but let's cover a review of our latest financial performance. This morning, we were pleased to report our financial and operating results for the third quarter of 2024. Our latest results reflect yet another strong overall quarter, further evidencing the material progress we are making across a range of business areas. The business achieved record PAC operating revenue of approximately $35 million and adjusted EBITDA of approximately $5 million. These results exceeded forecasts and demonstrate our ability to drive a more stable and resilient foundational business. Our improved results were driven by higher ASP, lower operating costs and an improvement in volumes. This contributed to strong gross margins during the quarter of roughly 39%, up approximately 800 basis points over the same period last year. While I am very pleased with what we have achieved and our latest results, I am far from satisfied and we will continue to challenge the status quo to drive even better performance. In light of the strong PAC performance, it's worth commenting on the sustainability of our PAC business turnaround. This is a topic that many investors raise when speaking with us. As we started 2024, approximately 26% of our PAC contracts were up for renewal. Against this backdrop and utilizing this as an opportunity for improvement, we've delivered ASP increases of 15% in the third quarter of 2024 over the prior year period and overall revenue increases of nearly $5 million or nearly 17% over the same period last year. Looking ahead to 2025 and 2026, we have very good visibility on PAC contract renewals, especially in the PG&I sector and believe this extends the runway and visibility we have in our overall PAC business. This gives me tremendous confidence in the financial performance of our foundational PAC business in 2025 and beyond and I remain confident in the sustainability of that performance in future years. Turning now to our capital position and funding initiatives. I'd like to take a moment to discuss our recent equity raise. As most of you will know, our initial financing plan for our strategic GAC expansion contemplated a term loan refinancing. During our second quarter earnings call, we discussed our progress in the refinancing, including the signing of a term sheet. However, as negotiations progressed, the terms became increasingly unfavorable. Non-call provisions, or when callable at onerous levels, especially when considering the significant near-term cash flow expectations of the GAC and PAC business, high cash flow sweeps, a high and increasing coupon rate, the addition of warrants and prepayment covenants that would have been highly inhibiting to our ongoing GAC expansion capabilities. At the same time, we expect to generate an even stronger cash flow stream once our first GAC line is up and running early in 2025. We have a substantial base of tax credits and NOLs, diminishing the value of the term loan's interest shield. After extensive analysis and strategic discussion, we determined that issuing equity would be far more accretive option while also providing greater balance sheet flexibility. And with our Phase 1 GAC line up and running early next year, we expect to be well positioned to finance a potential second granular activated carbon line as a traditional corporate cash flow credit, lowering interest costs and driving higher shareholder accretion. With this in mind, we initiated a 3-day confidential marketing period which uncovered robust institutional interest. Due to this high demand, we increased the size of the offering, reflecting investors' confidence in our growth plans. It is important to emphasize that we were not willing to sell at any price. The final offering price represented only a 9% discount relative to our closing share price prior to the start of the marketing process, demonstrating the competitive pricing of our offering. It's also worth noting that this process gave our team several important insights. We encountered strong interest from investors who were largely unfamiliar with our story, many of whom hadn't engaged with us since before I joined and some who had never heard of us at all. I see this as a positive. It means we have a fresh audience to introduce our exciting story to in the months ahead. We were also pleased that the offering was oversubscribed by high-quality institutional investors, many of whom we believe are continuing to buy in the aftermarket. I also want to emphasize that I personally participated in this offering, further aligning my interests with those of our shareholders. Since joining last year, I have now purchased 975,000 shares with cash. These were not granted as options or similar incentives. Additionally, the majority of my compensation is equity-based with a substantial portion having no value unless Arq's common stock maintains a price of $10 and $15 per share without any adjustments for dilution. My interests are definitely aligned with all shareholders. So please rest assured that any decision to issue equity is made with careful consideration and only when it serves the best interest of all shareholders. We believe that this equity raise leaves us in a very robust financial position, including $57.4 million of restricted and unrestricted cash on the balance sheet as of quarter end. Overall, we believe our decision to complete an equity offering provided multiple benefits, including expanding our institutional investor base, enhancing the balance sheet and improving our financial flexibility. It also positions us well to finance a potential second line at Red River with a traditional cash flow-based corporate loan once our first GAC line at Red River is operational. Our recent financing activity relates to our key growth initiative, the expansion at our Red River facility to produce granular activated carbon. I'm pleased to confirm today that this remains on budget with the latest guidance and on track for first deliveries in Q1 2025. We recently disclosed that following the addition of several key hires, we made the decision to bring virtually all aspects of the construction process at Red River in-house. We have a unique and powerful opportunity to leverage our strong in-house capabilities which we expect will reduce capital requirements and provide potential for expedited time lines. Previously, we were operating under a cost-plus contract with the general contractor. By bringing control in-house, we eliminate the fees paid to the external general contractor and regain full oversight of both the time line and spending, driving greater efficiency and accountability. As well as now having full control of our own construction projects, it's also important to highlight that the commissioning of Red River is modular, allowing each phase of the process to derisk key elements before full completion. This approach not only helps us stay on track with our time lines but also positions us for a smoother production ramp once the facility is fully operational. For example, with nearly 100% of our steel and concrete installed and over 95% of our equipment in place, we were already approximately 15% commissioned as of late October. This gives us confidence in 2 key areas. First, by addressing potential challenges in a staged manner, we can reduce the impact of any short-term issues during start-up. And second, this method should enable us to reach our full run rate nameplate capacity of 25 million pounds targeted for the first quarter of 2025 more quickly. On this point, we announced today that we have identified the potential to increase Red River's capacity by 10% to 20% over its 25 million pound targeted nameplate capacity with no anticipated additional CapEx required. We believe we could achieve this potential capacity on a run rate basis by the third quarter of 2025. Testing has shown our product significantly surpasses the required specification for most customers, although we don't expect to receive additional compensation for this outperformance. Therefore, we expect to be able to detune our product. The net result would still exceed customer requirements while potentially achieving 10% to 20% upside versus Red River's 25 million pound per year nameplate. It's important to note that this is not factored into our forecast. To repeat, just to ensure I am clear, this potential upsized production capacity would come with no anticipated additional CapEx required. Our focus remains firmly on the successful commissioning of Phase 1 but as we stated before, our ambitions and market demand certainly extend to a second phase and beyond. As such, we are already assessing the parameters of what Phase 2 might look like which is heavily dependent on 2 critical factors. First, we will want to be comfortable that Phase 1 is successfully up and running at nameplate production levels of 25 million pounds or better. And second, we will want good visibility on contract demand, providing better clarity on our investment return, competitive positioning and other factors. With strong signals on these 2 elements and with permitting already in place, we can certainly envision pursuing a second phase at Red River next year with ground-breaking activity as early as Q3 2025 but anticipate confirming potential timing in the first half of 2025. We'd also highlight that Phase 2 is already permitted and we have the potential for 3 further modules of 25 million pounds of GAC which could take our combined production to approximately 125 million pounds of granular activated carbon in total. Based on the invaluable insights gained during Phase 1, we'd anticipate construction for Phase 2 would take 12 months or less. Assuming 25 million pounds of production capacity, CapEx requirements are likely to be roughly equivalent to the spending on our Phase 1 at approximately $3 per pound of annual production. We conservatively believe that efficiency gains are likely to be offset by possible inflationary factors. As such, a further phase reflects a highly attractive growth opportunity with equally compelling investment returns that we'd be eager to pursue as quickly as responsible. As I've mentioned before, our GAC growth potential is substantial. While the exact time line for further expansion is not yet set, we have abundant feedstock at Corbin, permits in place and a site ready for expansion. This positions us exceptionally well, perhaps better than any of our peers, to capitalize on what we believe will be a multiyear supply shortfall exacerbated by rapidly growing demand. With that in mind, I'd now like to provide more detail around our contracting success at Red River. As I mentioned earlier, we've made solid progress on our Phase 1 contract negotiations and now have approximately 60% of our 25 million pound per year nameplate capacity contracted. Regarding pricing, I understand from the many investor calls we've had in recent months, the desire for our company to provide greater details in regards to pricing. However, virtually all of our peers are not obligated to report any metrics and providing elaborate detail on pricing would put us at a competitive disadvantage. That said, I'm pleased to confirm that recent contracts reflect strong and attractive pricing. Additionally, I would point out that there are significant differences in pricing across various industry applications. This underscores the importance of diversifying our customer base across different sectors. Given our strong contracting progress year-to-date, we are confident in contracting our remaining production by the time nameplate capacity run rate is achieved in Q1 2025 and are in advanced negotiations to do so. However, we may ultimately determine it to be advantageous to hold back a small portion of production, approximately 3 million to 5 million pounds to pursue alternative markets with higher pricing potential, even if they require longer qualification processes. For instance, the RNG opportunity which I detailed on the last call, differs from the PFAS customer base in that RNG customers typically prefer to sample large-scale product at their sites, meaning we need to be in production before completing final testing. Again, for clarity, we remain confident in our ability to fully contract Red River by first production. But we are likely to utilize the time between now and achieving nameplate capacity to optimize how we're contracting to maximize shareholder value. As such, we will remain focused but flexible. While I currently aim to have 100% of our product contracted by the time our 25 million pound nameplate capacity run rate is achieved in Q1 2025, if I believe in the coming months that holding back a small quantity could secure better pricing, I will pursue that course. As both a CEO and a shareholder, I believe in the importance of providing accurate guidance but I also recognize that we shouldn't be rigid with targets. If flexibility offers a better long-term outcome, we should adapt accordingly to maximize value for shareholders. While discussing guidance and before turning things over to Stacia, I'd like to reiterate some of our key initiatives and milestones which we target achieving by year-end. First, I expect we will continue optimizing the PAC business as the entire company works to identify cost savings, while the sales team continues its steady progress in expanding into adjacent markets and securing pricing improvements. Second, with Corbin fully commissioned and awaiting Red River to follow suit, we anticipate steady state production at Corbin to begin shortly, allowing us to stockpile feedstock for use at Red River. Additionally, we will start to explore cost reduction opportunities at Corbin which will be a key focus for 2025. Third, we will continue the modular commissioning of Red River which is already underway. While not every milestone will be announced, we may provide an end-of-year update if appropriate, giving the market a clear sense of progress as we move into 2025. With critical elements of the build complete, advancements at Red River are significant and will accelerate through completion. And as discussed, we have identified the potential to increase Red River's 25 million nameplate capacity by 10% to 20% and believe we could achieve this on a run rate basis during the third quarter of 2025. And fourth, we will continue entering into new GAC contracts ahead of start-up and ramp, further informing our strategy related to a potential Phase 2. With that in mind, I will hand over to Stacia to discuss the latest financials in greater detail.
Stacia Hansen: Thanks, Bob and thanks, everybody, for joining us today. We delivered strong financial results during the third quarter with revenue growing 17% year-over-year to $34.8 million. This is driven largely by enhanced contract terms, including 15% growth in average selling price. This is our 6th consecutive quarter of double digit year-over-year percentage growth in ASP and positive changes in product mix as well as a 5% increase in consumable volumes. Our gross margin in the quarter was approximately 39%, up approximately 800 basis points versus the 31% margins reported in the prior year period. We generated positive adjusted EBITDA of approximately $5.1 million compared to an adjusted EBITDA of $800,000 in the prior year period. Net income was $1.6 million, a significant improvement versus a net loss of $2.2 million in Q3 of 2023. As I mentioned earlier, average selling price for the quarter improved 15% year-over-year. We continue to eliminate negative margin contracts as we focused on profitability over volumes. And as previously guided on our last call, we have reduced loss-making contracts to roughly 2% of volume versus roughly 24% in 2022 and approximately 13% in 2023. We have now amended the sole remaining loss-making contract which will be a net contributor in 2025. Selling, general and administrative expenses totaled $8.1 million. This reflects a reduction of approximately 3% versus the prior year period, driven by a reduction in payroll and benefit expenses as well as legal and professional fees. Third quarter results included approximately $400,000 of non-recurring items related to severance and fees associated with our financing efforts. Research and development costs for the third quarter increased 23% compared to the prior year period. As in Q3 of 2024, year-over-year increases in R&D were primarily driven by conducting further product qualification testing with potential GAC adopters. Overall and on an annualized basis, our performance demonstrates our ability to operate our PAC business in a way that contributes positively to our economic position while further enabling us to pursue and execute on high-growth and high-margin opportunities within our expanding GAC business. We remain extremely confident that the PAC business will be cash generative in fiscal year 2024 and beyond and with it, we will have a much more secure foundational business on which we can add the more rewarding GAC opportunity. And turning to the balance sheet, we ended the third quarter with total cash of $57.4 million, of which approximately $49 million was unrestricted. This change versus last quarter was driven by the net proceeds from our recent equity raise totaling approximately $26.7 million and partially offset by the expenditures at Red River consuming approximately $16.5 million. Today, we are reiterating our 2024 CapEx forecast of $60 million to $70 million with $20 million to $25 million expected to be spent in the fourth quarter of this year. We continue to expect to fund our CapEx needs via our existing cash, cash generation, ongoing cost reduction initiatives and the potential prepayment on GAC contracts. On this final note, I would repeat Bob's comments that post our equity raise, we are now in a materially stronger position with regards to our discussions and possible lenders and anticipate completing some sort of ABL facility in the near term which will potentially enable us to remove both the expensive CFG term loan which we took out as part of the historical Arq Ltd transaction, as well as to smooth the working capital profile of the business as we move from first production to first sale. With that, I will turn things back to Bob.
Robert Rasmus: Thanks, Stacia. Before my closing remarks and opening it up for Q&A, I'd like to add one more important component to the financial discussion. As our business continues to transform and attract even more investor attention, we remain keen on providing better and more comprehensive information and disclosures to the market, enabling investors to more thoughtfully forecast and track our business and its performance. With this in mind, we anticipate providing financial guidance sometime next year following the completion, ramp-up of GAC production, achieving full run rate production and final determination of what amount over 25 million pounds we can produce. More information to come on timing and scope of that guidance but we preliminarily expect that to coincide with our first quarter 2025 earnings cycle in May. In conclusion, this was a really strong quarter which has left me very pleased but far, far from satisfied. I'm genuinely excited by the progress we have made but I also believe that we are just beginning to realize the potential of this opportunity. We plan on maintaining our focus as it relates to the PAC business. By doing so, we believe we can demonstrate that this is now a self-sustaining business. And of course, we need to be laser focused on execution as regards to GAC expansion at Red River. If we can continue with the progress we have already achieved, then I think 2025 will be a game changing year for us. I'm obviously biased but I think we have a great team, a great story which combined represent a fantastic opportunity. I'm very encouraged by the increasing level of investor interest we continue to receive as well as the engagements from equity research analysts who are also starting to see the potential. As we continue to execute and as the story continues to gain a wider audience, then I think the rest of 2024 and through 2025 and beyond will be a period of material value creation for all our stakeholders. With that, I will turn the call back over to our operator to move us to Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Just wanted to start, you provided a lot of details in your prepared remarks, so I only have a few questions. But starting on the GAC side and commissioning at Red River, you gave us a little bit of a time line. But just from a risk standpoint, I just want to understand maybe some of the major hurdles that remain in terms of getting Red River up and commissioning and into production.
Robert Rasmus: Sure, Gerry. A couple of things. As I mentioned, we basically got 100% of the structural steel and cement completed. We've got 95% or more of the equipment installed. What we're basically doing now is final electrical and piping of that. But the great thing about this expansion is we're able to conduct modular commissioning. And what I mean by that is we don't have to wait until everything is in place, everything is wired, all the piping is done to flip a switch and every machine and every bit of machinery starts whirring and turning, if you will. We're able to commission things on a modular basis. And for instance, we've already done the feeder into the furnace and a couple other items. And that's important because it allows us to derisk and troubleshoot items that as if -- or as opposed, I should say, to doing everything all at once. So stuff always goes wrong when you commission a new plant but I'm comfortable that we're on top of it and that we're going to be able to shorten that commissioning and debugging cycle.
Gerry Sweeney: Got you. I just want to confirm and I apologize if I'm wrong on this but did you say 25 million pounds of production, I'm assuming by the end of Q1? I just want to clarify that. Or run rate. Run rate.
Robert Rasmus: Yes. So the ideal is to be at full run rate production at the end of Q1. That's our goal on that. And it relies on when we start up and the debugging process. But that's our goal and that's what we're working towards.
Gerry Sweeney: And again and then potentially the detuning and production enhancements sometime in the third quarter impacting potentially the fourth quarter?
Robert Rasmus: Sure. No and I think that obviously we've got to reach full run rate production on the $25 million and then get the final determination in terms of how we've optimized production, what we've done to be able to determine whether that amount is 10%, 15% or 20%. Our goal is to be able to get that extra in the third quarter, getting some impact in the third quarter, hopefully and the fourth quarter. And we're comfortable we're going to achieve some type of optimization and enhancement over the $25 million. Otherwise, I wouldn't feel comfortable mentioning it.
Gerry Sweeney: And on that front, I understand detuning, the product comes out at as an extremely high quality. How does detuning take place? Is it less time in the kiln so you can put more product through? Just want to get a little bit more detail on that front as well.
Robert Rasmus: Yes, that's essentially it. It's less time in the kiln. Just change some of the formulas in terms of what we do and literally what buttons we push when and what levers we pull. It's a complex process but one we're very comfortable with the science and technology behind.
Gerry Sweeney: Got it. And then final question, just switching gears to the PAC side. Natural gas was actually very low this summer as compared to last year. Wondering if there were any headwinds on that front. Results were great but just wondering if there were -- if you had any headwinds due to natural gas pricing. And then secondarily, political landscape is changing and curious if you had any thoughts on what that could do to the PAC business as well.
Robert Rasmus: Sure. So as it relates to nat gas pricing, we've been facing nat gas headwinds for the power generation segment for quite some time, for well over a year. So this was nothing new for us. What you're really seeing in terms of our results from the PAC business is both optimizing the PG&I segment as well as the expansion into adjacent markets which reduces our reliance or previous overall emphasis on the PG&I market. So while nat gas prices were down, they've been down for a long time. It wasn't any additional headwinds that we faced versus prior quarters. As it relates to the election and uncertainty, we're glad the election is over and glad the uncertainty is eliminated. The market and investors really don't like uncertainty. And that if you look at the legislation that was passed by Congress authorizing the EPA to promulgate PFAS regulations, had very strong bipartisan support. And if you look at it, PFAS remediation is just one of many undersupplied and growing markets that we've designated for our granular activated carbon product. We really like how we're positioned both in the PFAS-related and other uses and outlets for our products. So we're glad the uncertainty for the election is over and it's no change, full speed ahead.
Operator: And your next question comes from the line of Graham Mattison with WRT.
Graham Mattison: It's Graham from Water Tower Research. Just to follow up on what Gerry said. Thank you. You gave a lot of detail in the prepared comments but also the slide deck, so thank you for that. Looking at the new GAC contracts, what were the end markets that were driving that? And have you seen any changes from the beginning of the year to now?
Robert Rasmus: Thanks, Graham. Really a variety of markets. One of the things we've tried to do is to get a spread of, if you will, industry risk or have a broad portfolio. We could contract the entire 25 million pounds right now in the water market. But we think it's the best course for shareholders, both in terms of the industry portfolio as well as pricing is to get a variety of industries. So we've got respirating equipment. We've got municipal water. We've got equipment manufacturers. We've got RNG people we're talking to. It's really across a wide variety of industries with whom we're speaking with.
Graham Mattison: Got it. Great. And then a question on the RNG markets, because you talked about that earlier. Are you seeing any increase in demand there? And the reason I ask that is they're listening to some of the earnings calls from the other players out there in the market in terms of the people manufacturing the engines or providing natural gas fuel, they were very, very bullish as of late.
Robert Rasmus: Yes. No, we're seeing extremely strong demand in the RNG sector. The demand could consume the entire production line if we wanted it to, it's so strong. But we're really looking, again, as I mentioned with Gerry, to diversify the end markets and not rely on any particular one market but RNG demand and the pace of advanced contract negotiations is extremely strong and favorable.
Graham Mattison: Yes. That new 15-liter engine from Cummins is pretty much the game changer everyone's been waiting for there. Broadly speaking, as you look at the length of the contracts, how do they compare between PAC and GAC? Is there a difference of who's driving that and who the customers are and what are they looking for in terms of timing? And I realize you can't get into specifics on contracts, so broadly speaking.
Robert Rasmus: Right. So on the granular, again, we're looking for a mix. We've got some 1 year but we're looking for multiyear in general. The reason we've done the 1-year contract is we think pricing is going to improve. And again, along with getting a portfolio of industries, we also want to stagger the maturities of our contracts on the granular side. So it's anywhere from 1 year, excuse me, to 4 or 5 years. On the PAC side, again, it's a variety. Those are generally longer term, 3, 4, 5 years as it relates to that. And what drives and circling back and digressing on the granular side, we're the ones really driving that mix of maturity. The granular customers really want as long a contract as possible.
Graham Mattison: Got it. Great. And then one final question sort of on the housekeeping side. You added additional GAC contracts this quarter but didn't put out a press release. Is the right way to think about that going forward is that we'll hear updates on the incremental contracts at the quarters as opposed to looking for press releases?
Robert Rasmus: I think that's right. One, we wanted to just to let people know that, A, we've got a viable product at the beginning. B, the market knows that we have a viable contract. We're very pleased at where we are with the executed contracts on that. But we think what's the best way to do that is prudent is to do them in batches or mostly at quarter end. Or if we get the plant up and running and fully commissioned prior to doing any quarter end earnings call, we would put out an update on the contracts as well. But really, really like where we're positioned on the contracting side.
Graham Mattison: Yes. No, that makes sense. And it's now more normal course of business and just standard as opposed to like you're just starting a line. So that makes sense to do it that way. All right. Great. Well, congratulations on the great results.
Operator: There are no questions at this time. I will turn the call back over to Robert Rasmus for closing remarks.
Robert Rasmus: Thanks, Demi. And thank you, everyone, for joining us this morning. While we are very pleased with our results, we are far, far from satisfied. I look forward to providing our next update. Thank you all for your interest, your time and your attention.
Operator: And this does conclude the meeting. We thank you all for your participation. You may now disconnect.